Operator: Good morning, ladies and gentlemen, and welcome to the XPEL, Inc. Third Quarter 2021 Earnings Call. [Operator Instructions] It is now my pleasure to turn the floor over to your host, John Nesbett, Investor Relations for XPEL, Inc. Sir, the floor is yours.
John Nesbett: Good morning and welcome to our conference call to discuss XPEL's financial results for the 2021 third quarter. On the call, we have Ryan Pape, XPEL's President and Chief Executive Officer; and Barry Wood, XPEL's Senior Vice President and Chief Financial Officer. They'll provide an overview of business operations and review the company's financial results. Immediately after prepared remarks, we'll take questions from call participants. Okay. I'd like to take a moment to read the Safe Harbor statement. During the course of this call, we will make certain forward-looking statements regarding XPEL, Inc. and its business, which may include but not be limited to anticipated use of proceeds from capital transactions, expansion into new markets and execution of the company's growth strategy. Often, but not always, forward-looking statements can be identified by the use of words such as plans, is expected, expects, scheduled, intends, contemplates, anticipates, believes, proposes or variations, including negative variations of such words and phrases or state that certain actions, events or results may, could, would, might or will be taken, occur or be achieved. Such statements are based on current expectations of the management of XPEL. The forward-looking events and circumstances discussed in this call may not occur by certain specified dates or at all and could differ materially as well as for known and unknown risk factors and uncertainties affecting the company performance and acceptance of the company's products, economic factors, competition, the equity markets generally and many other factors beyond the control of XPEL. Although XPEL has attempted to identify important factors that could cause actual actions, events or results to differ materially from those described in the forward-looking statements, there may be other factors that cause actions, events or results to differ from those anticipated, estimated or intended. No forward-looking statement can be guaranteed. Except as required by applicable securities laws, forward-looking statements speak only as of the date on which they are made, and XPEL undertakes no obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. Okay. With that, I'll now turn the call over to Ryan. Go ahead, Ryan.
Ryan Pape: Thanks, John. And again, I would extend my welcome to our third quarter 2021 call. Q3 was another strong quarter even in the face of some headwinds relative to pricing pressure in the supply chain, and of course, new vehicle inventory. Revenue finished at $68.5 million for the quarter, it was basically flat relative to Q2. When you factor out acquisition-related revenue, Q3 was down sequentially from Q2, around 5%, which is right in line with what we were expecting exiting Q2. As we talked about on the last call, we did see some advanced buying in Q2, primarily due to concerns about supply shortages and the prospect of price increases coming. Looking at the regions, our U.S. region continues to outperform, revenue growing 69.5%. Factor out acquisition-related impacts there, U.S. revenue grew 49%, which is really a great result for our largest region. Q3 U.S. new car sales were actually the slowest in a decade, owing to the vehicle shortages. So, in that sense, we're really pleased to drive such organic growth in that environment. On October 1, we acquired two businesses, Tint Net and One Armor, which have similar business model to the PermaPlate Films business that we acquired earlier in the year. As you may recall, this is a high-volume window film installation business for dealerships. We like the business because it further expands our overall business into a mid-range market and provides a platform to grow our paint protection and other products into the dealerships covered by these acquisitions. Unlike the rest of our business, this business, being the Tint Net, One Armor and PermaPlate Films that we acquired earlier, is really tied more to new car inventory than to new car sales. So as new car inventories have continued to lean out, this has had a temporary negative impact on this business because there are simply fewer vehicles to tint. We talked about this impact last quarter, but it does now seem that Q4 will be the bottom in terms of inventory. You're hearing this from many of the manufacturers, and we're starting to see it in our numbers as well. So, this is very encouraging. And we expect that we'll actually see revenue increase just as the vehicle inventories recover because that's the time that we're making the sale. Now today, in this business, we're operating at less than 70% capacity, which impacts our gross margin. We saw that a little bit in Q3 versus Q2 as we have to subsidize our labor force with extra compensation to make up for low inventories. So, the tune right now of about $1 million a year in extra expense. And simply put, that's there to ensure that we retain our labor, which is so important of our team because, by and large, they're paid on the work that they do. And if there's lower inventory and less work to be done, we've got to subsidize that to retain our team. So, no question we would do that. But that's right now about $1 million a year – excuse me – in extra expense through COGS. Regarding the PermaPlate Films acquisition, you'll note that we incurred the majority of our expected integration expense during the quarter. This should be complete by year-end. A little bit left to go in Q4, but most of that was – as we had previously indicated, most of that expense was incurred in Q3. Our Canada region had another great quarter with revenue growing 40.3% to $8.7 million. Strong performance in the U.S. and Canada, our two highest-penetrated regions. It's really great to see and suggest we'll continue to see attach rates and penetration continue to increase. In Canada, we did acquire several businesses on October 1 around installation and distribution. These are really textbook kind of acquisitions for us in keeping with our Get Close to the Customer strategy. We've always been very committed to the Canadian market, and these acquisitions are consistent with that. There was also a software business, which is similar to our DAP, which was acquired that would provide patterns and software used to cut paint protection film. That software will be combined with our DAP soon, really by year-end, bringing more patterns and add folks to our design team so we can continue to design more and more coverage for more and more vehicles. And that will really cease to exist as a separate product by year-end is the current plan. So really happy with those acquisitions in Canada. Our China reaching 12.5% in – over Q3 to $10.6 million. As we mentioned on the last call, there's about $1 million of revenue accelerated to Q2 from Q3. China's new car sales were down 13% from the prior year. So, China will be one to watch over the next year with all the – especially with all the other macro news coming out of China. In Europe and UK regions, both had strong quarters. Europe grew just under 30% to $4.7 million in U.S. dollar terms, while the UK grew 34% to just under $2 million in U.S. dollar terms. Asia Pacific grew 35.7% compared to Q3 of the prior year, which is a good result. I think that we continue to see more impact from COVID-related challenges in that region more so than others. But it does appear that some of that is continuing to lift. Latin America continues to do well, growing 75.6%, so off a small base. But as we talked about coming into the year, we've put more effort in all of Latin America led out of our Mexico office, and I think we're seeing some benefits from that. So clearly, the right strategy there. So, in total, the acquisitions completed on October 1 will add revenue of about $17 million in U.S. dollars term and post-synergy EBITDA of about $4 million on a run rate basis and expect to fully see that as we exit Q1, get into Q2 of next year. And then finally, recently, we announced the acquisition of UK-based invisiFRAME Ltd., which is a provider of bicycle frame protection kits. So, there's a lot left in the world to protect, and it makes sense for us to place some bets on where we can expand the reach of the brand and our products into other applications. And particularly, in this case, where we had established customer using our product into this adjacent space and we had demand from our existing customers. So, we like the idea of this as an adjacent protection market because it both opens up new customers in terms of bicycle shops. It is additional products for our current customers to sell. And in fact, many of them would – people will bring all manner of things into our current customers' locations to protect it. And then it also adds a direct-to-consumer component to the business, which we do a little bit of, but this has a larger direct-to-consumer component. So, the invisiFRAME will add a little over US$2.7 million, and we're really excited about that. In our research, we found a lot of connectivity between some of these bike buyers and our existing car buyers. So, a good market for us to try and expand into. And this invisiFRAME will conclude all the acquisitions that we have planned for this year. And with one exception, all the acquisitions completed this year, there have been at least two years in the making and were delayed by COVID and other factors. So really, this didn't materialize this year. These have all been discussions that we've been having for quite some time. So really happy to get them done and like I said, that I'll conclude what we're doing this year and then obviously have other things we're looking at for next year. And as you may recall, we've been really focused on supply chain this year. The possibility of delays and shortages looms really across all the industries. And this started for us when we took a very aggressive posture early on around the March freeze in Texas and the impact in Houston, the Gulf Coast. And it's really paid off. Our customers have experienced essentially no disruption in terms of product stock-outs or product availability from us. And that really can't be said for others in the space or some of our competitors who had substantial problems this year. It doesn't appear overall that the supply chain situation has really fundamentally improved, and perhaps in some ways, it's even more problematic now as we look going into next year. So, we continue to maintain an aggressive posture in terms of inventory going into next year, really to protect the business and protect the customers. So, you saw us build quite a bit of inventory Q3 from Q2, really just owing to how low inventories got with the record demand in Q2. But we're anticipating inventory around $45 million for the end of the year. We expect Q4 revenue to be just a bit higher than the Q2, Q3 or perhaps that much higher if we continue to see recovery in new car inventories materialize like we expect because as those inventories recover, that's revenue that we'll have at the time those deliveries are made to dealerships even more so than when they're sold. So, we're talking about gross margin for the quarter, we finished at 35.7% compared to 34.8% in Q3 of 2020. This was down sequentially from Q2, which came in at 36.7%. And we talked about a bit of this earlier, but we have started to see, like many others, broad pricing pressure really across the board. So, whether that's from packaging to labor to shipping, just really throughout the supply chain, and so we felt some of that in the quarter. And then also the additional labor costs relative to our dealership window tinting business, the PermaPlate Films business, like we talked about earlier. That really offset some of the continued benefit we have in terms of mix. So that's why we felt a little bit of that – a little bit of margin degradation from Q2 to Q3. Despite the pressures on margin we've been seeing, still remain confident that we'll be able to increase gross margins out of our historical 34% to 35% range by the end of Q4. And then we continue to expect gross margins to go higher in next year and to be approaching 40% by midyear. So even with these kind of near-term impacts, when you look at the overall mix of – product mix and then what we're doing with supply chain, it really doesn't change our expectations for continued increase in gross margin for next year. So, we received many price increases, but we've also put in price increases in many markets. So, starting in Q4, depending on the geography, but to the tune of 3% to 4% outside the universal, across the world depending on the local market conditions. So that will serve for now to more than offset cost increases that we've been receiving or are expecting. That will help keep us on track for that gross margin profile that I was just talking about. So, all in all, another good quarter for us. Lots of moving pieces, lots of work for the team on all of the acquisitions that we've done and the integration work that it takes, it's a big commit for everybody. So really much appreciate – very much appreciate the work and have done a great job. So, with that, I'll turn it over to Barry and then take some questions. Barry, go ahead.
Barry Wood: Thanks, Ryan, and good morning, everyone. Q3 revenue grew 48.6% to $68.5 million versus Q3 2020. And included in this was about $4.8 million or so of net new acquisition-related revenue. So organic growth – organic revenue growth was approximately 38.4% for the quarter, so really strong performance there. And on a year-to-date basis, revenue grew 71.4%. Product revenue grew 44.2% to $56.9 million in the quarter and 70.4% to $160.6 million on a year-to-date basis. And in this product revenue category, paint protection film grew 35.2% to $43.2 million in the quarter and 63.5% on a year-to-date basis. Our window film product had another outstanding growth quarter, growing 80.9% to $11.4 million and 93.2% to $29.6 million on a year-to-date basis. And I'll also add that our FUSION product line had another record quarter and continues to do very well. Q3 2021 service revenue grew 74.9% for the quarter and 77.5% on a year-to-date basis. Total installation revenue from our company-owned installation centers in our OEM segment grew 107.6% and represented 11.8% of total revenue for the quarter. If you exclude our acquisition-related growth, total installation revenue grew 17.1%. And keep in mind, most of the PermaPlate Films business hits this line item. On a year-to-date basis, total installation revenue grew 98.6%, and excluding the acquisitions, total installation revenue grew 41.4% on a year-to-date basis. And Ryan spent some time on gross margins, so I don't really have much to add here other than we did have approximately $0.3 million in one-time costs related to our integration activities that hit gross margin that will not reoccur in the future. On the SG&A front, our Q3 2021 SG&A expense grew 85% versus Q3 2020 to $14.1 million and represented 20.6% of total revenue. And on a year-to-date basis, total SG&A expenses were up 65.3%, representing 19.2% of revenue and included in Q3 SG&A expenses are approximately $0.5 million of integration and other one-time costs that again will not reoccur in future quarters. Q3 2021 EBITDA increased almost 27.1% quarter-over-quarter to approximately $11.4 million, reflecting the EBITDA margin of 16.6%. And if you exclude the integration and other one-time costs, here EBITDA would have grown 35.1% to $12.1 million, reflecting an EBITDA margin of 17.7%. And on a year-to-date basis, EBITDA grew 98.4% and represented 18.1% of total revenue. Q3 2021 net income increased 26.1% versus Q3 2020 to $8.3 million, reflecting a net income margin of 12.2%, and EPS for the quarter was $0.30 per share. And if you exclude the integration and other onetime costs, net income would have increased 35% to $8.9 million, reflecting net income margin of 13%. And again, if you exclude the integration and other one-time costs, EPS would have been $0.32 per share. And on a year-to-date basis, net income grew 108%, reflecting net income margin of 13.4%. And our year-to-date EPS was $0.92 per share. Cash flow from ops was $1.1 million in the quarter, which was quite a bit lower than what we've done in prior quarters, primarily due to our increase in inventory levels. We did close out the quarter with minimal debt, but that will obviously change in Q4 given our recently announced acquisitions and our decision to continue to increase inventory to hedge against potential supply interruptions. But even with that, we're in very strong financial position to continue to execute on our acquisition initiatives and our other strategic priorities. And finally, I'd like to really give a shout-out to our team, who did a great job integrating PermaPlate Films, and we're well down the road in getting the recent acquisitions integrated. And as Ryan mentioned, we do not anticipate closing any acquisitions for the rest of the year as we continue to focus on finishing up on our integration initiatives that are currently ongoing. So, it's been a very busy few months for us, and we look forward to continuing our momentum in Q4. And with that, operator, we'll now open the call up for questions.
Operator: [Operator Instructions] Your first question is coming from Steve Dyer from Craig-Hallum. Your line is live.
Steve Dyer: Thank you. Good morning, gentlemen. Nice quarter.
Ryan Pape: Good morning, Steve.
Steve Dyer: Just as it relates – you guys are performing really, really well, particularly given the situation with new vehicle inventory and sales. Do you feel like – are you seeing any difference in take rate or any other things that maybe dealers are doing to push the product and the service? It just seems like that should be having more of an impact to you guys than it is sort of all else equal?
Ryan Pape: Yes. I think you – we tried to understand when we see what we've been experiencing and what we're watching is how much benefit are we getting from just the continued momentum of the products being adopted like paint protection film and the growing attach rate versus extra work, extra incentive by the dealers who are in such a position to be able to accessorize the vehicles more because of the low inventory. So, it's obviously some of both, and we get the benefit of that. And so that's – we obviously see the benefit of that weighed against the other part of our business where the low inventory is maybe a negative, and that's where you get to the net balance where it's been pretty positive in spite of that low inventory situation.
Steve Dyer: Yes. Got it. And then you talked about sort of your sale having more to do with the sell into the dealership as they put vehicles into inventory as opposed to selling it through to the customer. Just curious, are you seeing more dealers sort of pre-wrap the different pieces of the car or so forth and sort of pro forma charge people? Or how does it work as it goes?
Ryan Pape: Yes. So, if you look at our business historically, even from a year ago or two years ago, really, all of our sales were tied to the sell-through for the most part because you're generally selling the products at the time the vehicle is sold, or at least that's when we're generating revenue. That's really historically was the vast majority of the revenue. Where that's changing a bit is with our OEM business and then with the PermaPlate Films and the other related acquisitions we did. Because in those cases, from an OE standpoint or from these PermaPlate Films. In the PermaPlate Films business, with that business, we're exclusively preloading the vehicles as they're delivered to the dealership lot. So that's in direct contrast to our historical business, and it's really tied – it really tied almost entirely to inventory in that sense. And in a similar way, the OEM business, while it's a small part of our overall revenue is the same way in that it's tied to new vehicle production. And if that's delayed because of supply chain shortages or part shortages that will impact that as well. So, you really have that mix now, which just didn't exist before but is now a component of the business. So, it's not really, Steve, so much that it's changed with our core business, but rather that the acquisition – these – several of these acquisitions we've done have just a different model where it is preloaded.
Steve Dyer: Got it. That's very helpful. Last one for me and I'll pass it along. As you look at potential future acquisitions be it next year or the year after, et cetera, are you looking sort of more along the lines of installation and buying up chunks of that like you've done more recently? I mean, in other words, do you sort of feel like you have the product portfolio where you wanted and now it's more of an installation and distribution thing? Or should we continue to look as well – would you look for different sort of product add-ons as well?
Ryan Pape: Sure. Yes. No, we definitely would not say that our product portfolio is complete from the be-all end-all standpoint. So, there are definitely other adjacent businesses that we're interested in. So, I would not foreclose anything on the product side. I think with the acquisitions we did this year, with the PermaPlate Films and then this Tint Net, One Armor, even those were relatively unique businesses. There aren't a lot of those type of businesses with that scale and that business model around. So obviously we acquired those, but not a whole lot of other ones like that. But I wouldn't define our strategy going forward to say it's going to be dominated by installation. That's just kind of where we've been focused this year. And like we said in the prepared remarks, we've had discussions with these businesses going on over two years. And it was really a strategic decision for us to say we want to expand the platform to get into more midrange dealerships, whereas historically our paint protection film business is more high line. And as part of growing paint protection film and also window film and other things, we needed a platform to do that. So, these acquisitions helped us do that strategically. But then what we're looking at after that, it will be more broad-based than just installation.
Steve Dyer: Got it. Very helpful. Thank you, guys and good luck, going forward.
Ryan Pape: Thanks, Steve.
Operator: Your next question is coming from Jeff Van Sinderen from B. Riley. Your line is live.
Jeff Van Sinderen: Good morning, everyone. And let me say congratulations on the strong performance. Kind of a multipart question here, if you can bear with me. You mentioned supply chain and pricing pressure. Wondering if you can elaborate on that a bit more, maybe dynamics of what you're seeing, steps you're taking to mitigate and then the outlook for that pressure, hopefully, to ease. And then, I guess, any metrics around that? And order of magnitude for your inventory levels to trend into FY2022?
Ryan Pape: Sure, yes. So, I think that, Jeff, like many people, I mean, you're watching what's going on with pricing really across the board. And it's pretty unpredictable and pretty broad-based and trying to then make assumptions on where does that go, I mean, even simple things like pricing of corrugate and other things that might go into boxes for products. I mean you've seen big spikes in those or even more entry-level labor and just the hourly wage increases. So, I think we've seen that. We saw that certainly in the quarter, we expect to continue to see that in some respect. But then, at the same time, in that environment that we're in, pushing forward our own price increases to offset that. So, I don't know that I could say what the trajectory of that is maybe any better than anyone else going into next year. I mean I think it's been pretty volatile and pretty hard to predict, and it's been pretty hard to forecast. So, it's certainly something that we're watching there from a pricing standpoint. From overall supply chain standpoint, there have been shortages in the chemicals business and the feedstock that goes into different components of the products that have been pretty widely discussed this year and then even into next year, we're still being advised of these shortages and things that go into the resins, that go into TPU and these sort of structural problems that have emerged. So, our approach has been that, let's build inventory to protect ourselves from this. And so certainly, we'll continue to do that like we talked about going into year-end. And then even while we're in the fourth quarter here, still make decisions on what we're planning for after that because we know that things could fall apart very quickly if you don't have enough product for your customers. And we saw that with a number of our competitors over the past year. So, not saying that inventory won't even go higher than that into 2022. Some of that, it needs to just to grow commensurate with our sales since we've seen such a large increase in sales over the past year. So, some of that is really to be expected. And then beyond that, really what we plan for based on the risks that we see as we currently see them.
Jeff Van Sinderen: Okay. That's helpful. And then if we could just touch on OpEx for a moment. In Q4, what we should expect and then maybe your thinking about OpEx leverage next year, excluding incremental acquisitions.
Ryan Pape: Yes, I mean we've seen, like Barry talked about, integration expenses for the acquisitions and then actual just direct acquisition expense in terms of legal and other things that go into that in Q3. And we'll have some of that in Q4. But we've trended a bit higher on SG&A percent of revenue, but we still feel good about the 18% target that we're budgeting towards as giving us the ability to fully invest in the business and grow and do more things while allowing for maximum leverage to the bottom line. So that's still the target. I think as we get through some of these more near-term expenses that we've had relative to these acquisitions looking into next year, still think that's a good target for us. And then add to that the gross margin profile that we still see is quite favorable and on track with what we've been talking about this year, in spite of the price – cost increases, that puts us in a position to be – have a really good operating performance going into next year, even in spite of the current environment that we're in.
Jeff Van Sinderen: Okay. Great to hear. And then if I can squeeze in one more. Just maybe anything else you can say about the plan to evolve the PermaPlate and related segment to drive the PPF business? Maybe any initiatives planned in 2022 that are not going to give away competitive things? And I guess any milestones we should look for there?
Ryan Pape: Well, I think that our primary focus up to now has been just on simply getting the business integrated and functioning well. But then the goal for next year, and certainly for this year, too, is where we can to begin trying to integrate some amount of paint protection film into those customers that we've acquired via the PermaPlate and the other Tint Net, One Armor acquisitions. And that could be smaller coverage paint protection film than what we might do today in the aftermarket or what we might do today in high-line dealerships. But the goal is, can we get some paint protection film attach rate into those dealerships that maybe have none today? And what's the easiest way to start that for one of these dealerships that has come in through that business model? It could be small wear-and-tear type coverage. It could be a variety of things, but try and get in there with something through those relationships and then grow that over time. And that's going to be our focus for that business going into next year.
Jeff Van Sinderen: Ok great. Thanks for taking my questions. And best of luck.
Ryan Pape: You bet Jeff, thanks.
Operator: We have no further questions from the lines at this time. I would now like to turn the floor back to management for closing remarks.
Ryan Pape: I want to thank everybody for joining us and for bearing with me today with my raspy voice. But great quarter, lots of good stuff going on, and a lot of thanks to our team for all the work they have been doing. It's been an incredibly busy time operationally, and everybody has done a really great job. So, thanks for joining us, we look forward to speaking with everybody again next year.
Operator: Thank you. Ladies and gentlemen, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.